Operator: Good day, everyone. And welcome to today’s Research Solutions, Inc. Second Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note this call may be recorded, and I will be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Mr. Steven Hooser, Investor Relations. Please go ahead, sir.
Steven Hooser: Thank you, Jess, and good afternoon, everyone. Thank you for joining us for the Research Solutions second quarter fiscal year 2025 earnings call. On the call with me today are Roy W. Olivier, President and Chief Executive Officer; Bill Nurthen, Chief Financial Officer; and Josh Nicholson, Chief Strategy Officer. After the market closed this afternoon, the company issued a press release announcing its results for the second quarter of fiscal 2025. The release is available on the company’s website at researchsolutions.com. Before we begin our prepared remarks, I would like to remind you that some of the statements made today will be forward-looking and under -- and made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed or implied due to a variety of factors. We refer you to the Research Solutions recent filings with the SEC for a more detailed discussion of the risks and uncertainties that could impact the company’s future operating results and financial condition. Also, on today’s call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. A reconciliation of those measures to GAAP measures is included in today’s earnings press release as well. Finally, I would like to again remind everyone that this call will be recorded and made available for replay via a link on the company’s website. I would now like to turn the call over to President and Chief Executive Officer, Roy W. Olivier. Roy?
Roy Olivier: Thank you, Steven. Overall, I’m pleased with the second quarter results. Net new ARR and deployments were strong and helped produce nice overall results on the top and bottomline. We delivered a record in terms of organic net new deployments, some of which was due to the reorganization of the sales team into a corporate-focused team and an academic-focused team. We saw strong results in academic and corporate sales teams during the quarter. We are not where we want to be in terms of churn and upsells and we’ll continue to focus on improving that area of the business. That said, our customer acquisition costs or CAC and our CAC-to-LTV or CAC to lifetime value, remain strong. The overall net ARR growth number is $1.5 million, which is where we need to be in terms of a quarterly run rate. However, it will take a few more quarters before we can consistently deliver that result every quarter. B2C had a strong quarter and we continue to dial in the formula to maximize new ARR derived from digital spend by market. B2C slowed at the end of the quarter as the holiday break impacted new signups and we expect that slowdown to impact January and then ramp up as we get into the second two months of the quarter. I’ll review some of the steps we’re taking to improve our sales performance, but first I’d like to pass the call over to Bill to walk through our fiscal second quarter financial results in detail. After Bill’s portion, I’ll be back to address where we are in more detail, and I ask Josh Nicholson, the Founder of Scite and our Chief Strategy Officer, to join today to comment on some of the recent news regarding new entries into the AI space and how Research Solutions expects to win in the long-term. Bill?
Bill Nurthen: Thank you, Roy, and good afternoon, everyone. Before I start, I would like to remind everyone that we closed the Resolute.ai transaction on July 28, 2023, and the Scite transaction on December 1, 2023. For Q2 comparisons, the Resolute.ai transaction is now fully anniversaried in the business. However, last year, we only had one month of activity related to Scite. Total revenue for the second quarter of fiscal 2025 was $11.9 million, a 15.5% increase from the second quarter of fiscal 2024. Our Platform subscription revenue increased 47% to $4.6 million. The growth was primarily driven by a net increase of Platform deployments and the contributions from Scite, which in addition to having a full three months of activity in the quarter, experienced over 75% pro forma revenue growth over the prior year quarter. Platform revenue accounted for about 39% of our total revenue for the quarter, compared to approximately 30% in the prior year quarter. We ended the quarter with $19.1 million in annual recurring revenue or ARR, up 23% year-over-year, reflecting strong growth in both B2B and B2C Platform deployments, and our continued sales and upselling efforts. The ARR growth rate is now a purely organic measure, as for calculation purposes, both Resolute and Scite have been fully anniversaried as of the end of December. The ARR is broken down as $12.7 million in B2B ARR and approximately $6.4 million in normalized ARR associated with Scite’s B2C subscribers. Net incremental ARR growth in the quarter was approximately $1.5 million and we had 61 net B2B Platform deployments. As Roy mentioned, the net 61 Platform deployments in the quarter were the highest organic performance the company has ever posted. We are pleased with the ARR growth in the quarter, as it was not only strong, but also distributed across B2B and B2C, as well as multiple products. In addition, it was nice to see the seasonality we discussed on our prior call play out as we expected, as both Scite B2B and B2C academic growth rebounded significantly from Q1. Please see today’s press release for how we define and use annual recurring revenue in other non-GAAP terms. Transaction revenue for the second quarter was $7.3 million, a 1.7% increase from the prior year quarter. It should be noted that Q2 is seasonally our weakest time for Transaction revenue. Our total active customer count for the quarter was 1,384, compared to 1,398 in the same period a year ago. Transaction growth continues to be modest, as expected, with more growth coming from the academic side of the business. Gross margin for the second quarter was 48.9%, a 540-basis-point improvement over the second quarter of fiscal 2024. The increase is due to the ongoing revenue mix shift towards the higher margin Platforms business, which is helping us edge closer to producing 50% plus blended gross margins. Platforms business recorded gross margin of 86.5%, a 210-basis-point increase compared to the prior year quarter. The result is primarily related to the labor component associated with our Platforms business, as it continues to remain constant, and in some cases, decline as the revenue scales. Gross margin in our Transaction business decreased 50 basis points to 25.2%. The decrease was primarily related to lower service fees, as we’ve been holding our service fees flat and this quarter had slightly lower paid Transactions versus the same quarter last year. Total operating expenses in the quarter were $5.7 million, compared to $4.9 million in the prior year quarter. The increases were related to additional costs in sales and marketing and technology and product development, which includes having a full quarter of Scite expenses in the period compared to one month in the prior year quarter. There were also increases in non-cash depreciation and amortization expense associated with the acquisitions completed in fiscal year 2024, and in stock compensation related to new grants and some vesting on our market-based restricted stock. Turning to profitability, the company recorded income from operations of $0.1 million, compared to a loss from operations of $0.4 million in the prior year quarter. Net loss for the quarter was $2 million or $0.07 per share, compared to a net loss of $54,000 or nil, in the prior year quarter. This quarter’s results include a $2.4 million provision related to increasing the projected contingent earn-out liability for Scite. While we experienced little growth in Scite in Q1, the growth results in Q2 were quite dramatic, which caused us to revisit our earn-out assumptions. These assumptions do remain subject to further adjustment until the earn-out is officially calculated, which will happen at the end of May this year. Adjusted EBITDA for the quarter was $963,000, compared to $318,000 in the year-ago quarter. This result is inclusive of $112,000 in commission-related expenses associated with working with our former Chairman to assist him in exiting substantially all of his stock position in the quarter. Typically, as I have noted on prior calls, there is some seasonality in our adjusted EBITDA results, with the lowest quarter being Q2 and our best quarters typically being Q3 and Q4. That said, we view Q2 as a strong performance, and on a trailing 12-month basis, our adjusted EBITDA is now $4.6 million, which represents a near 10% margin. When you combine this with the organic growth we are experiencing in the Platforms business, we feel very good about the momentum in the business and where the company is heading. Turning to our balance sheet and cash flow, we experienced another strong quarter of cash generation. Cash and cash equivalents, as of December 31, 2024, were $7.7 million versus $6.1 million on June 30, 2024. Cash flow from operations in the quarter was $1 million, compared to $0.3 million in the prior year quarter, and $1.9 million year-to-date compared to a burn of $0.4 million last year. We are now heading into our strongest seasonal period for cash flow, Q3 and Q4, so we continue to expect our cash flow results to improve as we move through the fiscal year. On a trailing 12-month basis, we have now generated over $5.8 million in cash flow from operations. As of quarter end, there were no outstanding borrowings under our revolving line of credit. As we look ahead, we are very encouraged by the organic growth we are seeing across the Platforms business. You will note that we did experience a sequential uptick in SG&A expenses for the quarter. Some of this was related to more permanent expenses and some was related to a few unique non-recurring-type items that I previously discussed. We are cautiously investing in growth, primarily in sales and marketing, where we have hired a new CRO, and to some extent in technology and product development, where we have added some heads. We do, however, continue to hold the line on G&A expenses. All that said, I do not expect SG&A expenses to shift materially upwards or downwards from where we saw them in Q2, and recall that on prior calls, I have indicated that a more normalized run rate for these expenses prior to additional growth investment was more like Q3 of last year, which was $5.4 million. That said, we are growing, so even at these levels, we continue to believe that Q3 and Q4 can be our strongest quarters for profitability, and as a result, we are looking forward to a strong finish over the next six months. I will now turn the call back to Roy. Roy?
Roy Olivier: Thanks, Bill. Thanks, Bill. Regarding the quarter, we did see a nice net new ARR and deployment growth as a result of a few things. First, activity and bookings picked up noticeably after the election concluded. Second, our marketing team has been doing a nice job with B2B top-of-the-funnel work driving more pipeline. Third, we split our single sales team into a corporate and academic team, which has resulted in more deal flow in both teams. The academic team had a strong quarter and only its second quarter as a team. Finally, we brought in Sefton Cohen, our new Chief Revenue Officer, in early November, and I think he had an immediate positive impact. We have several priorities for the second half of the year that I think are notable. Some of those include, to reiterate, marketing has done a great job in driving B2C signups and has made huge progress in delivering B2B leads and positioning us as a thought leader in the scientific research and AI space. They’ve been driving a lot of activity that is generating results in terms of pipeline growth and we will continue that focus during Q3 and Q4. We’ll continue to focus as well, heavily, on building out a professional and disciplined sales team. In early January, we flew 45 people, almost one-third of our workforce, into Atlanta for extensive sales training and to help better standardize our sales process. The team will use the standard approach moving forward with the intent of building predictable and repeatable results. We have already oriented the rest of the organization around those principles and are executing that plan daily. Part of that process may impact our results in the short-term, but successful execution will be a huge positive in the long term. As Bill mentioned, you will see additional expenses, primarily in terms of sales and marketing investment, in the next couple of quarters and that will negatively impact CAC and CAC-to-LTV. That said, we expect to start seeing acceleration in bookings in Q4 and FY 2026’s Q1, which will cause CAC and CAC-to-LTV to return to normal levels. I remain optimistic and excited about what we’re doing and that it is key to our long-term growth plans, both organic and non-organic. Product also continues to be a priority, and while we’re working on numerous updates across our portfolio of products, our focus for Q4 and Q3 will be to improve UX and CX across the Scite and Article Galaxy Platforms, continuing integration of AI into the workflow of both products, and improve our instrumentation and analytics. Instrumentation is primarily for us to know and measure what changes we make to the software and whether those changes are working or not. Analytics is both internal and external. Externally, it will continue to improve the reporting available to our customers and will provide a clear view of the ROI of the Platform and customers’ other investments in research. From a business development standpoint, we continue to look at many options but have nothing to report today and nothing we think is actionable in the short-term. We continue to look for things that will enhance our product roadmap, add customers or content and will be accretive to our revenue and EBITDA targets. Now I’d like to turn the call over to Josh Nicholson to provide some context around all the recent AI news. Josh?
Josh Nicholson: Thanks, Roy, and first, thanks for having me. I’m excited to join this call and appreciate all the investors dialing in, many of which I have met both in person over the last year. I joined Research Solutions 14 months ago with the acquisition of Scites. Since then, we’ve been heads down and hard at work transforming the business, and I’m happy with our progress we have made and the continued momentum both from Scites and Research Solutions as a whole. Today I want to talk about how we think about AI and how that relates to recent advances from OpenAI, DeepSeek, and others. As we can all appreciate, there’s an AI arms race happening amongst the biggest companies and even economies in the world. How do we fit in and how do we win? In 2022, I published a paper entitled How to Build a GPT-3 for Science. These were the early days of ChatGPT, and most use cases seemed to be absurd or exploratory. You could create an image of velociraptors working on a skyscraper in the style of Lunch atop a Skyscraper of 1932. You could use DALL-E. If you wanted to create an imaginary stand-up comedy show with Peter Thiel, Elon Musk and Larry Page, you could use ChatGPT. If you wanted to deeply understand Alzheimer’s research or any science topic in fact, based on facts and figures from the world’s leading research, you better learn how to do a Boolean Search, read scientific papers and maybe get a PhD. There was and still is a gap for using ChatGPT or any LLM for real research. We started Scite to build an AI-native tool to help researchers do better research. We joined Research Solutions to accelerate that mission and to build the AI solution for research. We believe that AI applied to the workflows of specific verticals is how companies like Research Solutions will win. At Research Solutions, we’re leveraging our unique content access and AI rights to the world’s research. Combined with a deep focus on research workflows, we can solve problems for researchers that even the biggest AI companies cannot. As AI advances, these benefits will compound, and it is what allowed us to create Scite in the first part. We recently put out a press release highlighting this, showing that despite Scite -assisted usage growing orders of magnitude, our costs were declining. The key, and I will repeat this some more, is the vertical focus of Scite and the application of AI to proprietary research data. We can plug in any LLM, whether it is a customer’s homegrown model, one we develop or one that will come out tomorrow. Plugging LLMs into research is, however, something only we can do. Summarized, we think the researcher will see more value in a tool that has the flexibility to use one or more LLMs, has a tool built into their workflow at the right pain points, is focused only on quality research, and comes with the access rights to provide better results through searching free content, as well as content behind the paywall. That is and will remain our focus going forward. With that, I’ll say thanks again for having me join and I’d like to turn the call back over to the Operator for Q&A.
Operator: Thank you. [Operator Instructions] We’ll go first to Jacob Stephan, Lake Street Capital Markets.
Jacob Stephan: Hey, guys. Thanks for taking my questions and congrats on the results and Platform deployments here. Just kind of wanted to help, understand -- maybe you could help us understand a little bit better on kind of new logo wins versus kind of cross-sells in that $1.5 million of incremental ARR in the quarter?
Bill Nurthen: Yeah. I can start on that, and then Roy can add if he’d like. A lot of the quarter was driven by net new sales and so a lot of new logos. I would say it was an outperformance from a new logo perspective and we are still producing well but underperforming to our expectations on upselling customers. I would say the one exception to that is we are -- we continue to be very successful at cross-selling Scite into some of our existing Article Galaxy customers. But again, the real outperformance in the quarter was in the logo generation.
Roy Olivier: Yeah. Sorry about that. I was on mute, but Bill’s 100% accurate. It was primarily new logos. There is some Scite upsells into our base in there and our upsells into -- our upsells of Article Galaxy features into the Article Galaxy products continues to do okay but is not performing at the level it was a couple of years ago.
Jacob Stephan: Okay. Got it. That’s helpful. And then you kind of alluded to this earlier in your comments, Roy, but in December, you do kind of see that seasonal impact of students as they end classes in the -- for the semester. Maybe January starts out a little bit slower, but could you kind of help us think about the impact to kind of overall B2C as we look at our models?
Roy Olivier: Yeah. Josh may have some commentary on this as well. The B2C business is usually fairly strong in our fiscal Q2 and Q3. You have that little pause in mid-December to mid-late January in there, but we typically would expect to see good performance in this quarter. And then it slows down, obviously, at the end of our Q4 as people get out of school for the summer. But Josh, you want to add anything to that?
Josh Nicholson: Yeah. I don’t have too much more to add to that. The seasonality of universities, whether you’re an undergraduate student or a professor impacts the business.
Jacob Stephan: Okay. Got it. Maybe just one last one, kind of honing in on the cost of AI and how that’s trended over time, Josh, maybe if you had any color on kind of, what -- how things started, how costs are looking now for AI, and where do you think they could go maybe over the next 12 months, so to say?
Josh Nicholson: Yeah. So for costs, as new models are deployed, we’re able to assess a variety of different models from the cost of it to the performance of it and I think we take a measured approach evaluating, is there a good ROI on switching this model to a new model? And so the cost since joining Research Solutions largely halved. And as we explore different models, they could go up, but, again, with the progress in AI, the efficiencies, the performance, all this really kind of is not long, right? And so even the most expensive model this week might be a lot cheaper in a month or two. Bill, maybe you want to say a bit more on that?
Bill Nurthen: Not too much. I mean, I think you covered it pretty well. The main point being is, we’ve been -- I think Josh has talked about the advantages that we have and that was what the press release we put out as well with our AI solutions. But yeah, the costs have been coming down as we’re scaling up the searches there. But I don’t see that sort of materially impacting our numbers, at least in the short-term.
Jacob Stephan: Okay. Yeah. Understood. I appreciate the color, guys. Good luck.
Roy Olivier: Thank you.
Operator: [Operator Instructions] We’ll go next to Allen Klee with Maxim Group.
Allen Klee: Yes. Hi. When I heard you talking about AI, did I understand that you -- that the way you think of your competitive advantage is that you have kind of some exclusive access to the content or was there something else you would also say?
Josh Nicholson: Yeah. I would…
Roy Olivier: Commentary on -- Josh. Go ahead, Josh.
Josh Nicholson: Yeah. I would say that the exclusive access really underpins this advantage. But I think, looking at AI across different industries, and really why I said vertical AI is, going into the workflows of researchers and applying AI in a specialized way that a more generalized tool like ChatGPT is not going to do, I think is also the focus and also a differentiator. And so we’re really kind of focused from a data advantage, and then also, going deep on the workflow of researchers.
Allen Klee: Thank you. My other question was, you mentioned that you’re going to calculate the earn-out in whatever it will be in May. When does that might -- does that get paid over eight quarters? Is that right? And if it’s cash and stock, when does it start getting paid? Thank you.
Bill Nurthen: Yeah. Sure. That’s correct. Once it’s calculated in May, the payout is half cash, half stock, over eight quarters. It just depends on some timing of the acceptance of the numbers and things like that. But I would expect the payments to start sometime in the July timeframe this year. July, yeah, probably July timeframe.
Allen Klee: Okay. Well -- okay. Maybe one last question. I don’t -- is your Q out yet or…
Bill Nurthen: No. That’ll be filed tomorrow.
Allen Klee: Could -- yeah, can you just tell us, then, what the -- on the front page, you usually say what the share count is as of kind of yesterday or something, what that number is?
Bill Nurthen: Yes. It’s roughly $32.6 million.
Allen Klee: Okay. Great. Thank you so much.
Operator: We’ll go next to Peter Rabover with Artko Capital.
Peter Rabover: Hey, guys. Josh, congratulations on the earn-out. And I guess on that, like, can you guys just hone in on the 75% growth that I think you guys talked about for at least one of the segments or at least the whole Scite thing? And I know -- and how much of that 75% was the cross-selling that you mentioned versus what’s organic? And how did you get there? Like I said, I mean, that’s a great number. I’m just kind of curious what drove that? Thank you.
Roy Olivier: Bill, do you want to touch the first part of that?
Bill Nurthen: Yeah. Yeah. I’ll start with a few comments. Yeah. So, yeah, we basically took kind of where -- we had one month and we took the two months’ pre-acquisition together and then compared it to this year, and that’s what’s producing the 75% pro forma result. So I would say it is definitely a mix of cross-sell and new sale, but most, again, emphasis on the new sale. I think we still have a lot of upside for cross-sell within the Article Galaxy base, which is a positive thing for kind of future growth. But when you think back through Scite --Scite had a great product, but it was not a large team and really didn’t have a lot of sales capacity as a standalone. So, once we’re able to get Scite under our umbrella, get our sales teams trained, get some marketing behind it, and also then say, hey, we’ve got some warm customers we could take you to, that has really led to a lot of growth. I think the other thing which Roy alluded to is, Scite sort of focused us to say, hey, we have to have some specialization around corporate and academic, and really focus in on academic. And that’s why we split those sales teams and that academic sales team has had a lot of success, and it’s a very cohesive group that really produced a bunch of sales towards the end of the quarter in December. And so there’s just a nice ramp there and that’s really a lot of where we’re getting this nice growth out of Scite. So, Roy, Josh, I don’t know if you want to add to that.
Roy Olivier: No. Well said, Josh?
Josh Nicholson: No. I don’t have anything to add to that.
Peter Rabover: No. I mean, look, that’s great. Like, just to know that there’s a piece of -- a big piece of the business that’s growing organically at such a high rate. I mean, I think that’s like a very important highlight and I appreciate your color on that. And yeah, I mean, Josh, at what point do you think people will start to get the moment where, like, ChatGPT is not enough and they think they need more, and then they search for more and realize that, Scite is the one with most of the information? Like, how do we get there where the aha moment where our competitive advance rise happens?
Josh Nicholson: Yeah. I mean, I think people are starting to see that on the long tail, where you have researchers and research intensive organizations taking a look and Scite winning out on contracts versus some of these others. Obviously, we’re a lot smaller, have a lot smaller marketing spend than some of these groups you mentioned. And so, I think, keeping our heads down and focused on really building specialized workflows and leveraging the AI to that is kind of how we’ll win. And so, I expect, we might be the flashiest, but really leveraging that data and going deep on the workflows is, again, kind of the advantage that we need to take.
Peter Rabover: Okay. Well, thanks for the color, guys.
Operator: It appears that we have no further questions at this time. I’ll turn the program back over to Mr. Olivier for any additional or closing remarks.
Roy Olivier: Yeah. Thanks, everyone, for joining. As a reminder, we will be participating in the ROTH Conference in Dana Point, California, March 16th through the 18th. Qualified investors that would like to attend or schedule a meeting should contact either their ROTH sales rep or Three Part Advisors. We look forward to speaking with you in May to discuss our third quarter fiscal 2025 results. Have a great evening.
Operator: Thank you. This does conclude today’s program. Thank you for your participation. You may disconnect at any time.